Matt Jozwiak: Good morning. And thanks for joining us for Fulton Financialâs Conference Call and Webcast to discuss our earnings for the Second Quarter of 2022. Your host for todayâs conference call is Phil Wenger, Chairman and Chief Executive Officer. Joining Phil are Curt Myers, President and Chief Operating Officer; and Mark McCollom, Chief Financial Officer. Our comments today will refer to the financial information and related slide presentation included with our earnings announcements, which we released yesterday afternoon. These documents can be found on our website at fult.com by clicking on Investor Relations and then on News. The slides can also be found under the Presentations page under Investor Relations on our website. On this call, representatives of Fulton may make forward-looking statements with respect to Fultonâs financial condition, results of operations and business. These statements are not guarantees of future performance and are subject to risks, uncertainties and other factors, and actual results could differ materially. Please refer to the Safe Harbor statement on forward-looking statements in our earnings release and on slide two of todayâs presentation for additional information regarding these risks, uncertainties and other factors. Fulton undertakes no obligation other than as required by law to update or revise any forward-looking statements. In discussing Fultonâs performance, relative -- representatives of Fulton may refer to certain non-GAAP financial measures. Please refer to the supplemental financial information included with Fultonâs earnings announcement released yesterday, as well as slides 10 through 12 of todayâs presentation for a reconciliation of those non-GAAP financial measures to the most comparable GAAP measures. And now Iâd like to turn the call over to your host, Phil Wenger.
Phil Wenger: Thanks, Matt. Good morning, everyone. As usual, Iâll share a brief overview of the quarterâs highlights, then Curt will discuss our business performance and Mark will share the details of our financial performance, and then weâll be happy to take your questions. The second quarter of 2022 was a good one for Fulton and we were pleased with our performance. Our earnings per share of $0.42, was an increase of $0.04 over the previous quarter. Several factors helped drive performance. We saw very strong loan growth. Our net interest income benefited from rising interest rates. Overall fee income was solid and asset quality remained relatively stable, but despite a more cautious outlook. In April, Fulton released the companyâs first Corporate Social Responsibility reports. This comprehensive report illustrates our purpose-driven company provides an exceptional banking experience for our customers, while strengthening the communities we serve. In June Fulton Bank announced upcoming changes to our overdraft program and fee schedule. In the fourth quarter of 2022, our Fulton Bank will eliminate non-sufficient funds space and extended overdraft fees for consumer customers. And as of July 1, I am pleased to report that we completed the acquisition of Prudential Bancorp, Inc., just under -- in just under four months after our announcement. Later this year, we expect the Bank conversion to occur and Prudential Banc and its customers will be merged into Fulton Bank. Many of our team members have been working to ensure that the transition to Fulton Bank is a smooth one for Prudential Banc, customers and employees. As part of this acquisition in early July, Fulton made a $2 million contribution to the Fulton Forward Foundation and this contribution will provide impact gifts to non-profit organizations in Philadelphia that are focused on advancing economic empowerment, particularly in underserved communities. With the Prudential Bancorp acquisition completed, we have doubled our loan portfolio and expanded our deposit base four-fold in the Philadelphia market. Looking ahead, with our $75 million share repurchase authorization in place and the closing of the Prudential Bancorp acquisition now complete, we can consider repurchasing shares later in the year, if it makes financial sense to do so. Now, Curt, will take a closer look at the details of our business results. Curt?
Curt Myers: Thank you, Phil, and good morning. We were very pleased with our performance for the second quarter. So let me share some additional detail on several key areas. Loan growth was very strong for the quarter, due to solid originations in both our Commercial and Consumer businesses, and we also experienced slower prepayments in residential mortgage lending. Total loan growth, excluding PPP loans was approximately $537 million or about 11.6% annualized, and which spread throughout most loan categories and products. As a reminder, all of the loan and deposit growth numbers I will be referencing are annualized numbers on a linked-quarter basis. Starting with commercial lending, with another solid quarter where commercial loans grew $225 million, or 7.2%. C&I loan growth accelerated, increasing $106 million or 10.6% versus 8.1% in the first quarter and 5.5% compared to the prior year period. Increased originations largely drove this growth. Commercial line utilization ended the quarter at 22%, flat with the prior quarter and represents additional growth potential in future periods. As a reminder, commercial line utilization as of the first quarter of 2020 was 32%, representing a $530 million opportunity should line utilization revert to pre-pandemic levels at some point in the future. During the quarter, commercial mortgages rebounded from a flat quarter in the first quarter, growing $128 million or 7%, driven by strong origination and migration from construction to permanent loans. Commercial mortgage growth did impact commercial construction balances, which declined $79 million during the quarter. Even with strong originations during the quarter, the commercial pipeline grew nicely and is now at or above recent levels. Turning to our consumer and small business lending, loan balances grew $281 million or 18.9%. Residential mortgage growth for the quarter was $257 million or 26% linked-quarter. With the rise in interest rates, we saw a shift from fixed rate saleable mortgages to on balance sheet adjustable rate originations. In addition, we experienced a slowing in residential mortgage loan prepayments. As I mentioned, in the past several quarters, our fintech partnership for student loan refinance business continues to progress nicely, with $28 million of originations in the quarter. This portfolio now exceeds $50 million in balances and gives us access to an attractive customer segment. Lastly, our consumer indirect business grew $22 million or 23%, from both adding new dealer customers and increased consumer spending. Overall, weâre very pleased with the depth and breadth of our loan growth this quarter. Turning to deposits on an ending balance basis, we saw a decline in total deposits for the quarter. This decline was driven by decreases in wholesale, time and other interest-bearing deposit products. Non-interest bearing deposits, which represent a third of our total deposit base, remain flat linked-quarter. These broad base declines were in some case seasonal, but were also driven in part by our discipline pricing strategy. Recently, we have started to selectively raise deposit rates to both retain and grow our deposit customers. For the quarter, total deposit balances declined $397 million or 7.4%. Moving to our fee income businesses, we were pleased with our overall performance. The diversification in our business lines has served us well, with certain business lines growing, offsetting the near-term challenges we faced in businesses that are more sensitive to interest rates and market volatility. In our commercial line of business, total fees increased $4.4 million, up 27% versus the prior period, driven by sizeable increases in capital markets, merchant activity fees and our core cash management business. Capital markets fees predominantly commercial loan interest rate swaps were up $2.2 million versus the prior quarter, driven by both volume and size of transaction. As I noted in prior periods, capital markets fees are transactional in nature and are driven by the needs of our commercial customer base. Merchant fees were up $1.1 million or 23% linked-quarter, driven by increases in gross sales volume. Cash management grew $634,000 or 11.7% linked-quarter, as weâre starting to see increased activity and the impact of annual fee increases. In addition, we have managed earnings credit rates very effectively. Offsetting growth in the commercial business, wealth management fees declined $1.2 million or 5.9% linked-quarter, continued strong sales efforts, client retention and our recurring fee revenue model help to buffer the impact of declines in the financial markets. At June 30, the market value of assets under management and administration declined to $12.6 billion or 8.7%, down less than the overall market. Turning to consumer and small business banking, most consumer fee categories grew nicely, offsetting declines in mortgage banking. Consumer fees from card and transaction account were up $717,000 or 4.6% linked-quarter, largely due to increased customer activity. Offsetting consumer fees, mortgage banking revenue declined to $808,000, driven by a $480,000  decline in gain on sale income. While gain on sale spreads widen, we saw lower loan sales due to the swing from fixed rate to adjustable rate products, which we chose to put on the balance sheet. Moving to credit, our performance this quarter was stable, with net recoveries and only a modest provision for credit losses. With that being said, we are seeing modest increases in non-performing loans and delinquency. During the quarter, we had $3.7 million or 8 basis points of annualized net recoveries, compared to $1.1 million or 2 basis points of annualized net recoveries in the first quarter. Our second quarter provision for credit losses was $1.5 million versus a negative $7 million provision for the first quarter. This is the first quarter in which we recorded an increase in our allowance for credit losses out of the last five quarters and was primarily driven by strong loan growth during the quarter. At June 30, the allowance for credit losses excluding PPP balances is 1.32% of loans. As always, our allowance for credit loss trends could change in future period based on new loan origination volumes, the mix, net charge-off activity and longer term economic projections. Overall, our credit performance remains stable. However, our credit outlook has turned more cautious due to macroeconomic environment. Now Iâll turn the call over to Mark to discuss our financial results and outlook in a little more detail.
Mark McCollom: Thank you, Curt, and good morning to everyone on the call. Unless I knew it otherwise, the quarterly comparisons I will discuss are with the first quarter of 2022. Starting on slide three, earnings per diluted share this quarter were $0.42 on net income available to common shareholders of $67.4 million. This is up from $0.38 in the first quarter of 2022. Our second quarter performance included a sharp increase in net interest income and a modest increase in fee income for the quarter, offset by increases in the provision for credit losses, as well as operating expenses, which Iâll cover in more detail later in my comments. Moving to slide four, our net interest income was $179 million, an $80 million increase linked-quarter. This increase was a function of both very strong loan growth, as well as the impact of rising interest rates during the quarter. With respect to our PPP program, during the second quarter, we saw these ones decreased by another $92 million, ending the quarter at only $72 million outstanding. Because the remaining impact or financials is no longer material, this will be the last quarter in which we discussed this portfolio in our prepared remarks, but we will continue to show the portfolio separately in our financial tables for the balance of the year. With respect to the investment portfolio, balances declined modestly during the period, decreasing $171 million to end the quarter at $4.1 billion. Given our strong loan growth during the quarter, we opted to pare back on investment securities growth. Turning to deposits, total deposits declined approximately $397 million on an ending balance basis. Most of this decline was an interest-bearing demand products. On an average balance bases, total deposits increased $44 million for the quarter to $21.5 billion. Our cost of deposits for the quarter remained at 11 basis points consistent with the prior quarter. We expect this to be at the bottom for deposit costs, as weâre starting to selectively increase interest rates for certain products in customer segments. Our ending loan-to-deposit ratio increased from 85.8% in the first quarter to 89.5% currently. Our net interest margin for the second quarter was 3.04% versus 2.8 -- 2.78% in the first quarter. The 26 basis points of linked-quarter increase resulted primarily from an improvement in the mix of interest earning assets and asset sensitive loan portfolio and stable deposit costs. Going forward, I would expect our net interest margin to expand with additional rate increases, but we will also be adjusting deposit costs during this period. Turning to slide six, non-interest income, Iâll provide some additional detail on the business results Curt discussed. Mortgage banking revenues declined and were driven by a decline in mortgage loan sales, offset in part by an increase in gain on sales spreads, which rose to 190 basis points this quarter versus 161 basis points during the first quarter. Our pipeline in this business has declined to pre-COVID levels and only 6% of our mortgage originations this past quarter were for refinancing. Prepayments have also slowed considerably, which has contributed to the quarterly loan growth we saw in this category. In June, we also announced some changes to our overdraft products and services. These changes will be effective in the fourth quarter of 2022. They are not expected to have a material impact to 2022 results less than $1 million and this reduction is reflected in the refreshed 2022 guidance provided at the end of my comments. Moving to slide seven, non-interest expenses, excluding merger-related charges were approximately $149 million in the second quarter, up $3.1 million linked-quarter. This increase was driven by the following factors. Total salaries and benefits were up $1 million linked-quarter, driven by annual merit increases in the month of April and one additional calendar day during the quarter. Also contributing to the linked-quarter increase in expenses were higher outside services costs due to timing of certain technology projects in the second quarter, resulting in a $600,000 increase. And lastly, a $2.2 million increase in other expenses that was primarily due to lower real estate related gains on sale, an increase in certain state tax assessments and an additional calendar day during the quarter. Slide eight provides more detail on our capital ratios. As of June 30th, we maintain solid cushions over the regulatory minimums and our Bank and parent company liquidity remain very strong. Accumulated other comprehensive income decreased $145 million during the quarter. This impacted our tangible common equity ratio, as well as tangible book value per share by 40 basis points and $1.25 per share, respectively, offset by strong net retained earnings. During the quarter, we did not repurchase any shares, and as Phil mentioned, our Board approved another $75 million share repurchase authorization expiring at the end of the year. On slide nine, weâre providing updated guidance for 2022. Our guidance now assumes a total of 275 basis points of Fed funds increases occurring as follows; the 150 basis points previously announced in March, May and June, 75 basis points assumed in July and 25-basis-point increases assumed in both September and December. Our revised guidance also includes the impact of our Prudential Bancorp acquisition which closed on July 1st. Based on those assumptions, our revised guidance is as follows; we expect our net interest income to be in the range of $745 million to $760 million. We expect our non-interest income excluding securities games to be in the range of $220 million to $230 million. We expect our non-interest expenses to be in the range of $600 million to $610 million for the year. Note that this operating expense guidance excludes the impact of $1.4 million in merge-related charges through June related to the Prudential Bancorp acquisition. We expect total one-time merger-related charges of $17 million to $18 million for this acquisition or approximately another $16 million of merger expenses occurring in the second half of 2022. And lastly, we expect our effective tax rate to be in the range of 18% plus or minus for the year. Many of you also look at pre-provision net revenue or PPNR as a key metric to assess the profitability of core operations. Our version of this metric is included in the financial tables of our press release. PPNR has increased 18% year-over-year and 24% linked-quarter as a result of our 2021 balance sheet restructuring, earning asset growth over the past year and core margin expansion from our asset sensitive balance sheet. With that, Iâll turn the call over to the operator for questions. Gigi, can you help us please?
Operator:  Our first question comes from the line of Daniel Tamayo from Raymond James.
Daniel Tamayo: Good morning, everyone. Thanks for taking the questions.
Operator: Your line is now open.
Phil Wenger: Good morning, Dan.
Curt Myers: Hey, Dan.
Mark McCollom: Hey, Dan.
Daniel Tamayo: Hey. Good morning, everybody. So maybe first just starting on the net interest income guidance, seeing if we can, perhaps, break away the differences between kind of what excess liquidity, I guess, where that is now, how much the deployment of that is embedded in the guidance relative to just kind of assets sensitivity from rate hikes? And then also on the deposit side, what you guys are assuming in terms of either betas or costs?
Phil Wenger: Yeah. So Dan, first on excellent liquidity, I would say, our liquidity actually this quarter with holding the line on deposit cost as we did and with the strong loan growth that we had, weâre really down to a comfortable level of excess liquidity. So I would say that, in that guide, what youâre really seeing there is just the impact of the additional interest rates weâve assumed in the back half of the year. And then remind me on your second question.
Curt Myers: Deposit betas.
Phil Wenger: Deposit betas.
Daniel Tamayo: All right. Yes.
Phil Wenger: Yeah. Yeah. Thank you. Deposit beta, so obviously year-to-date, weâve had zero. If you take our interest rate assumptions and if you take that NII guide, we had said earlier that we expect through the cycle, we expect our overall deposit beta to be in the 30% range. But when you look just for the stub during this period where you donât, typically we calculate betas a full 12 months out after the last rate increase. So if you look at what we expect that beta to be just for this year, we would expect it to be more in the 15% to 20% range by the end of the year and thatâs offset by a loan beta that is forecasted to be in the low 40s.
Daniel Tamayo: Okay. All right. Terrific. Thatâs really helpful. And then changing gears a little bit to the loan growth side, Iâm interested in your thoughts on, thereâs a lot going on with residential mortgages and mortgage banking with the increase in rates. So just your thoughts on where youâre comfortable taking the residential mortgage portfolio as a percentage of the overall portfolio. And then, if in your mind, once that is level is reached, if itâs somewhat near, that could then add to mortgage banking, given youâre already kind of trending towards a level you havenât seen on them from mortgage banking perspective in quite a while?
Curt Myers: Yeah. Dan, on the mix, I think, we do have room to continue to grow that portfolio and weâre comfortable with the mix increasing somewhat. So short-term, we donât think thatâll impact what weâre willing to put on the balance sheet. Really what we saw in the second quarter was the customer demand shifting from long-term fixed rates to adjustable rate mortgage. Thatâs really what accelerated it in the quarter. So as we look forward, we think residential mortgage growth will moderate from what we saw in the second quarter.
Daniel Tamayo: Okay. Terrific. All right. Iâll step back. Thanks for answering my questions.
Phil Wenger: Thank you.
Curt Myers: Thanks.
Operator: Thank you. Our next question comes from the line of Russell Gunther from D.A. Davidson.
Russell Gunther: Good morning, guys.
Phil Wenger: Good morning, Russ.
Curt Myers: Hi, Russ.
Mark McCollom: Good morning.
Russell Gunther: Just a quick follow up on the growth outlook. So if you guys, really strong result first half of the year and building momentum into 2Q. I hear youâre on the expectations for resi. Can you comment, though, on just overall organic growth expectations for the back half of the year and any expectations for potential slowdown from the momentum youâve shown in the first half?
Phil Wenger: Yes. We did have a really strong quarter and really strong first half. On the consumer side of the business, as rates move up, that will impact demand. So I think there is potential for consumer to slowdown as rates go up. We feel good about the businesses and the backlog connectivity that we have right now. But I think thatâs macroeconomic environment that weâre worried about as those rates go up. On the commercial side, we -- our pipeline remains strong. Weâre adding to our team. We had growth in every area geographically of the company. And we expect consistent origination performance in the back half in commercial banking.
Russell Gunther: Okay. Thatâs really helpful. And then thinking about funding the growth from a deposit perspective, you mentioned some seasonality that we saw this quarter and I think we get some again in 3Q and also the recent rising of rates to retain and grow balances. So would you expect to be able to continue to fund the growth outlook with deposits and how would you expect that loan-to-deposit ratio to trend going forward?
Mark McCollom: Yeah. I do, Russell. In the third quarter, as you point out, and we do have typical seasonality, we have $2.2 billion of the municipal deposits on the books, as of June. Those have a blended costs of around 6 basis points. I mean, our municipal book is a little bit more core than maybe how some people view municipal deposits, but there will be some tax rolls coming in here in the third quarter. So, but on top of that, I mean, again, we are going to see a full quarter impact of the rate increases that we saw in June, plus the rate increases occurring in July. So that now gives us room and we are starting to look at the customers that we want to retain and we have a lot of long term depositors that weâre going to be increasing rates for here in the third quarter, so that we can continue to retain and grow that book and continue to fund ourselves organically.
Russell Gunther: All right. Great. Thanks, Mark. And then just switching gears, last question here just on M&A. So with the recent deal close and integration coming shortly, just an update in terms of your appetite for M&A going forward and whether any macro concerns have diminished that at all in the near-term?
Phil Wenger: So we would still be interested in strategic acquisitions within our footprint. I think things have slowed down considerably, but we would be interested.
Russell Gunther: Okay. Great. Thanks, Phil. Iâll step back. Thanks guys for taking my question.
Phil Wenger: Thanks.
Curt Myers: Thanks, Russ.
Operator: Thank you. Our next question comes from a line of Frank Schiraldi from Piper Sandler.
Justin Crowley: Actually, Justin Crowley on for Frank this morning. Just to follow up, again, sort of on the growth discussion on the hiring side, I think you mentioned last quarter about adding some teams in D.C., as well as Southeast PA. I was wondering if you could talk about sort of the traction youâre seeing there and then some of the more hiring youâre doing and how that factors into the outlook going into the back half of the year?
Phil Wenger: Yeah. We are always recruiting and want to hire and pull teams into the organization as much as we can. In the quarter we have added the Southeast PA and we actually added the team in Northern Virginia. So thereâs the teams that we added. But we added then commercial bankers throughout the footprint as well. I think linked-quarter we are up 11 individuals. So that is a constant, weâre very focused on organic growth and that is a critical way to do it in commercial banking. So we are always recruiting and looking to add talent.
Justin Crowley: Okay. Great. And then just online utilization rates, you guys talked about those staying flat, is there anything youâre seeing, you talked about the opportunity, should that sort of reach where you guys run historically, is there anything youâre seeing or hearing that would bring you to expect that to start to pick up, as we head into the third quarter?
Phil Wenger: We monitor it. It flattened out. We got a little bit of growth first quarter based on line utilization and then linked-quarter here, it was relatively flat. So we do think that will increase over time as liquidity comes out of the system, as you know, customers are going to use their liquidity first. So weâre going to see that natural pull between deposit balances and line utilization. So weâre navigating that, but we do expect slow and steady increase in line utilization.
Justin Crowley: Okay. Great. Thatâs helpful. And then just sort of lastly for me, just on capital, in coming out of the Prudential deal close, on repurchases, can just sort of remind us, how you weigh sort of how active you plan to be, whether thatâs looking at capital levels or squaring that against what youâre seeing from a loan growth perspective?
Curt Myers: Yeah. So, the waterfall on capital for us has always organic growth first. So weâre going to make sure we maintain healthy cushions on capital to be able to fund the customer growth that we have. If we have access capital, then we will certainly evaluate where the stock is trading and evaluate a buyback versus other forms of capital like in organic growth and acquisition use, whether thatâs for whole Bank acquisitions or whether thatâs for some of the bolt-on wealth acquisitions that weâve done over the years.
Justin Crowley: Okay. And then the swings in AOCI, does that impact at all sort of your thinking on buybacks or is that more just semantics?
Mark McCollom: Well, I think thatâs a great question. And I guess I would throw that out to everyone on this call to circle weigh in on that as well. We have spoken with some of you and weâve spoken with Moodyâs and weâve spoken with some of the larger institutional investors. And I think the general view on that is that this is an accounting issue and not an economic issue. But weâre paying very close attention to that, because we want to make sure that all constituencies feel as comfortable as we do on the strength of our balance sheet.
Justin Crowley: Got it. That is it for me. Thank you guys for taking my questions.
Phil Wenger: Thanks.
Operator: Thank you. Our next question comes from the line of Chris McGratty from KBW.
Chris McGratty: Good morning.
Curt Myers: Good morning, Chris.
Phil Wenger: Good morning, Chris.
Chris McGratty: Hey, Mark. I want to start with just an NII question. Weâre all using, I think, a little bit different rate curves. Could you remind me the rule of thumb for each 25 on NII?
Mark McCollom: Yeah. So the rule of thumb for 2020 and this is just obviously for 2022, we will be coming out with 2023 guidance in early 2023. And -- but based on our current assumptions on deposit betas, the rule of thumb is between $1 million and $1.5 million a month for each 25. So said another way, we have 25 assumed in September, if you have 50 in your model, that meetings in early September, that will be four months, so thatâd be around $5 million additional to NII.
Chris McGratty: Great. Thatâs exactly what weâre looking for. You referenced the service charge shifts that a lot of your competitors are also doing. You also mentioned thatâs mostly going to take effect at the end of the year. Maybe a question for like, lift off point, in 4Q, like, can you remind me what the total impact is? I think you said it was going to be a $1 million this year, but look into next year, just help with that service charge?
Mark McCollom: Yeah. So we donât give 2023 guidance until 2023. Weâve given the fourth quarter guidance, but weâre also offering some new products for customers that might change some consumer behavior. So until we really know that, Chris, I mean, Iâm not going to go beyond the fourth quarter guide that we give, which I said is less than a $1 million and it reflected in the $220 million or $230 million overall fee income guide.
Chris McGratty: Okay. And then lastly on the share count, I have it in my notes about 6 million shares from the deal for the fourth quarter -- for the third quarter?
Mark McCollom: You got it? 6.2. Yeah.
Chris McGratty: Got it. Great. Thanks, Mark.
Operator: Thank you. Our next question comes from the line of Casey Haire from Jefferies.
Unidentified Analyst: Connolly  on behalf of Casey Haire. So, this is kind of touched upon, but obviously, deposits down 2% at the end of the quarter, we saw cash isnât come down a little bit. So just in terms of the balance sheet, like, for funding loan growth from here, will it come primarily from the securities portfolio and do you have a level of cash that youâre comfortable with operating at going forward? Thanks.
Mark McCollom: Yeah. It would come from cash flows from the investment portfolio. We do have a little bit of cash. Weâve, historically, in the industry for a long period of time has not had any overnight borrowings, so we have ample liquidity, certainly, through our securities book for borrowers capacity at the FHLB as well. And we also have a loan-to-deposit ratio, which while it is ticked up, it is still below our historic loan-to-deposit ratio standards. And what -- we feel very comfortable running it in the mid-90s, weâre still sitting below 90% to that.
Unidentified Analyst: Okay. Great. Thanks for taking my question.
Phil Wenger: You bet.
Mark McCollom: Thanks.
Operator: Thank you. Our next question comes from the line of Matthew Breese from Stephens.
Matthew Breese: Hey. Just curious thinking about the updated NII guide, $745 million to $760 million, it feels safe to say that, the 4Q the exit NII run rate will be north of $200 million. Iâm curious if by your projections, is that exit NII closer to $200 million or $210 million. Maybe frame for us what kind of the annualized exit rate is in that fourth quarter?
Mark McCollom: Yeah. So, we just give annual guides, but I would tell you that, youâre guess of between $200 million and $210 million is pretty well spot on. So Iâll leave it there.
Matthew Breese: Okay. And Mark, maybe just provide for us, what the incremental loan yielded today? Whatâs the blended rate on the portfolio the pipeline is and are there any areas where youâre starting to see some spread compression? Just curious where youâre seeing the most competition?
Mark McCollom: Yeah. So Iâll take the first part of the question and Iâll turn it over to Curt. So, for loan yields, we were $356 million for the second quarter. To give a sense, though, kind of where we are coming out of the quarter, we were $370 million for the month of June and then that really, because our deposit costs stayed flat, that really drove the margin expansion, where our margin for the quarter was $304 million, our margin for the month of June was $390 million. Now, Iâll turn to Curt to answer on the second half of your question.
Curt Myers: Yeah. Just add some color on the origination. I mean, weâve remained very disciplined in our pricing and we grew most loan categories for the quarter. So it remains a competitive market, but weâre not given on credit terms and weâre not going below what weâre comfortable with on credit spread.
Matthew Breese: Okay. And you mentioned that youâre offering selectively promotional deposit rates. Curious what categories and what rates youâre offering, if you could provide that the June cost of funds to thatâd be helpful?
Mark McCollom: Yeah. The June cost of funds?
Matthew Breese: Yeah. Cost-to-deposit. Sorry.
Mark McCollom: Yeah. It was 11 basis points as well.
Matthew Breese: Okay.
Mark McCollom: So that stayed constant. And in terms of, things that weâre offering today, I mean, weâre looking at individual pockets of customers and categories. One specific thing that weâre launching right now is a three-year consumer CD at 2%. So we are going out with that to get a little bit ahead of where, if the 75 basis points occurs in July, weâll be borrowing overnight north of 2% pretty soon. So thatâs one example things that weâre doing.
Matthew Breese: Okay. And then my last one just on the topic of credit, so in your prepared remarks, a little bit more cautious language on the credit front noting some slight deterioration. I was just curious where youâre seeing that slight deterioration? Yeah. Iâll stop there.
Curt Myers: We had a modest uptick in delinquency, so thatâs a leading indicator, but again, weâre at historically low levels of delinquency, but that ticked up modestly. We had some increases in the non-performing as well and that was specifically in C&I, a few C&I counts struggling with the things that are in the macroeconomic environment, whether it be supply chain or talent. Thereâs a handful accounts struggling with that. But thatâs really specific to those accounts and we donât see anything on portfolio level in consumer or commercial at this point.
Matthew Breese: Okay. Last one, just two portfolios that Iâm paying a little bit more attention to are commercial real estate office and equipment, and I was curious if you could provide a little bit of a color on those two and then exposures?
Phil Wenger: Here, well, youâre spot on, focused on those -- weâre focused on those as well. In the equipment finance side, we really havenât seen any change or any increased risk in that portfolio at this point. On office, we are doing a lot of work on understanding office. Weâre specifically focused on investment real estate office and weâve got $560 million portfolio. Weâve done a deep dive on all of those counts. We have a weighted average loan-to-value of roughly 41% -- 51% and a very strong weighted average cash flow at this point and weâre looking at lease terms and where emerging risk might occur. But at this point, even that portfolio where we may expect some pressure, weâre not seeing it and we feel good about our portfolio.
Matthew Breese: Okay. What was the equipment balance?
Mark McCollom: Roughly $200 -- $250 million, $260 million.
Curt Myers: Exactly.
Phil Wenger: Yeah.
Matthew Breese: Perfect. I appreciate taking all my questions. Thank you.
Phil Wenger: You bet.
Mark McCollom: You bet.
Operator: Thank you. Our next question comes from the line of Daniel Tamayo from Raymond James.
Daniel Tamayo: Hey, guys. Just a quick follow up here. Thanks for taking it. Just on reserves. So, obviously, we seem to be getting to a stablish point here or a bottom. But I was curious how youâre thinking about the lever or the leverage, I guess, to any changes in economic forecasts or actual data in terms of unemployment, GDP and whatever else is driving those calculations for you guys. How much changes in those items could impact reserves and how quickly that could happen within CECL right here?
Mark McCollom: Yeah. Dan, thatâs a -- thatâs going to go beyond the time of this call to talk about all of the nuances around the CECL calculation. But itâs obviously a mix of very large complex macro economically driven models, as well as qualitative overlays, where we look at things like office right now and portfolios that we think have potentially higher risk. Should the macroeconomic environment change significantly, that could have impact, obviously, on levels of that we need to provide going forward. But macroeconomic factors tend to lag a little bit and -- but they also tend to move a little bit more slowly and some of the stuff thatâs more specific to your own portfolio.
Daniel Tamayo: Yeah. No. Thatâs a good point. Is it fair to say, do you think weâve hit a bottom here from reserve ratio perspective?
Mark McCollom: I think thatâs hard -- really hard to say, the one other thing, I guess, I would comment, because youâre asking about macroeconomic factors. I mean, the one thing thatâs interesting with where we are right now in the cycle is it, normally when you start to see a downturn in credit. Youâre also in an environment then where rates are falling and that puts pressure on Bank earnings. But here we are in an environment where we donât know if weâre at sort of a trough in terms of credit and if non-performance are going to go up or not. But weâre also in an environment where earnings -- the outlook for earnings for the near-term is pretty good with respect to rates.
Daniel Tamayo: Yeah. Thatâs a good point. All right. Well, I appreciate your insight there. Thatâs all I had.
Phil Wenger: Thanks, Dan.
Mark McCollom: All right. Thanks, Dan.
Operator: Thank you. Our next question comes from the line of David Bishop from Hovde Group.
David Bishop: How are you.
Phil Wenger: Hi, David.
Mark McCollom: Hi, David.
David Bishop: Hey. Most of my questions have been asked and answer, but I think in the preamble you might have noticed a change in pricing on commercial cash management was inaccurate, was that the driver of some of the increase on the cash management side of the house policy side?
Curt Myers: Yeah. It was a component just based on the second quarter that typically when we do our annual rate sheet changes for cash management services. So within this quarter that impact was felt.
David Bishop: And in your rates, that sort of bring it back up to the market, above market. Just curious sort of where you lie relative to peers?
Curt Myers: Yeah. I mean, we are competitive with our regional and the large competitors there. So we feel that those fees even with the increases remain very competitive and allow us to continue to add customers and grow the customer base.
David Bishop: Great. Appreciate you taking the question.
Phil Wenger: Sure.
Operator: Thank you. I would now like to turn the conference back over to Phil Wenger, Chairman and CEO for closing remarks.
Phil Wenger: Well, thank you, again, everyone, for joining us todayâ¦
Operator: This concludes todayâs conferenceâ¦
Phil Wenger: â¦ be with us when we discuss third quarter results in October.
Operator: This concludes todayâs conference call. Thank you for participating. You may now disconnect.